Chad Reed: Good afternoon, everyone and welcome. Earlier this afternoon, Hannon Armstrong distributed a press release detailing our fourth quarter and full year 2021 results, a copy of which is available on our website. This conference call is being webcast live on the Investor Relations page of our website, where a replay will be available later today. Before the call begins, I’d like to remind you that some of the comments made in the course of this call are forward-looking statements within the meaning of Section 27A of the Securities Act of 1933, as amended and Section 21E of the Securities and Exchange Act of 1934 as amended. The company claims the protections of the Safe Harbor for forward-looking statements contained in such sections. The forward-looking statements made in this call are subject to the risks and uncertainties described in the Risk Factors section of the company’s Form 10-K and other filings with the SEC. Actual results may differ materially from those described during the call. In addition, all forward-looking statements are made as of today and the company does not undertake any responsibility to update any forward-looking statements based on new circumstances or revised expectations. During this call, we will primarily discuss non-GAAP financial measures, which we believe help investors gain a meaningful understanding of our core financial results and guidance. A presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. A reconciliation of GAAP to non-GAAP financial measures is available on our posted earnings release and slide presentation. Joining me on today’s call are Jeff Eckel, the company’s Chairman and CEO and Jeff Lipson, our CFO and COO. With that, I would like to turn the call over to Jeff, who will begin on Slide 3. Jeff?
Jeff Eckel: Thank you, Chad and good afternoon everyone. Today, we are delighted to report another outstanding year here at Hannon Armstrong, with distributable earnings up 21% to $1.88 per share, net investment income of 52% to $134 million, our portfolio, up 24% to $33.6 billion. And we have also increased our reported pipeline to more than $4 billion, up $1 billion from our last report. And this comes after closing $1.7 billion in 2021. In addition, despite macroeconomic and industry headwinds, which we will discuss, we have the confidence in our business to increase guidance for annual growth and distributable EPS to 10% to 13% and extend that guidance one additional year to 2024. We are also guiding to 5% to 8% annual growth in our dividend through 2024. And consistent with that, declaring a dividend today of $0.375, which represents a 7% increase over our dividend last quarter. On this page, we also highlight the carbon count of one transaction in order to generate more understanding of this important climate reporting metric. Our featured transaction is a 452 megawatt grid connected solar project in Texas being developed by Clearway and is incremental to the $660 million framework agreement with them we announced in late 2020. This particular project has an above average carbon count of 1.3, because the power generated by this project largely offsets natural gas power generation in Texas. While every investment we make improves our climate future, not every investment is equally efficient. At doing so, we believe measuring and reporting with this level of rigor is where the market needs to go. Turning the Slide 4, we will give more color on the increase and extension of our distributable EPS guidance. As you may recall, we gave 7% to 10% growth guidance this time last year through 2023. Given the strength we see in the climate solutions market, as reflected in our pipeline, it is appropriate to increase guidance. The chart on this page reflects an extrapolation of the high and low ranges of our increased guidance. Actual results in any one year maybe outside the span, of course, but we are confident in the overall trend through 2024. We are also updating our dividend growth guidance, as I said, to 5% to 8% annually from the prior 3% to 5% range. Turning to Slide 5, we would like to address the key industry challenges that are top of mind for investors and the impacts on both the industry and HASI. First, while rising interest rates and higher costs is a reversal of a long period of declining cost enjoyed by the clean energy industry, the industry is adapting to this new reality. There is really only one way to address rising costs in a capital intensive industry like clean energy, raise the PPA price, and our clients are doing just that, with industry reports of a 5% increase in Q4 PPA prices and anecdotal evidence of prices continuing to increase in 2020. Most indications are that corporate PPA buyers understand that they are the ones to bear that price risk and generally accepted in order to meet their corporate sustainability goals. That doesn’t mean these are easy or fast negotiations for our clients, but they are happening and the end result is the clean energy industry will make the adjustment it needs to absorb higher costs. On the flipside, those same PPA counterparties are seeing higher natural gas and electricity prices from conventional energy suppliers, making higher clean energy PPA prices more palatable. Importantly, the HASI portfolio is largely unaffected, as most capital budgets and operating costs are fixed. And since new investments are made after factoring in any higher costs, there is minimal impact on our returns of future investments. Next, the pandemic and other industry specific challenges have resulted in a very real supply chain delay for our clients and serves as a reminder of how hard our clients work to develop these projects. Fortunately, there are signs of improvement in some markets, but of course, challenges remain. These supply chain delays have had only a minimal impact on our business. We estimate transactions in our pipeline pushed out only 1 to 2 months on average through 2021 and then to 2022. The failure of Congress to pass Build Back Better was disappointing to the industry, but our industry does not rely on any single piece of legislation to prosper. As a matter of fact, a little over a year ago, the industry expected the ITC and PTC to ramp down and it is prepared for that still. That said, we consider passage of some climate provisions like tax credit extensions still viable and a tailwind to our already growing markets. Lastly, California’s initial Metering 3.0 proposal was not positive for residential solar of course, but many observers believe that the final rule will be more constructive for the industry. Whatever the final rule, the value proposition for residential solar plus storage remained strong. Given the structural seniority HASI enjoys in our residential solar investments, NEM 3.0 has minimal impact on our existing portfolio or future investments we may make. Moving to Slide 6, we provide an update on our 12-month pipeline, which we are now reporting as I said greater than $4 billion, up from the prior quarter of more than $3 billion. We currently have more than 40 programmatic clients who drive our pipeline into behind-the-meter, grid connected and sustainable infrastructure markets and we are adding new clients each year as the Climate Solutions market grows. The bulk of our pipeline remains behind the meter and is weighted toward energy efficiency, while the grid connected portion is weighted toward the solar. Lastly, we note that newer investment opportunities comprise an increasing portion of our sustainable infrastructure pipeline, which itself has become a more meaningful portion of our overall pipeline. Slide 7 highlights an underappreciated strength of our business model, the diversity of our markets. When you compare the 2021 chart on the left with a 2020 chart on the right, it’s clear that the success of each year was driven by different markets. In 2021, public sector behind the meter carried the day and wind in 2020. In each of these markets, there are multiple generally uncorrelated asset classes. In any given period, one of these asset classes may produce investment opportunities, while others may not. That diversity in our origination platform and the breadth of our client base provides assurances that despite one asset class facing challenges, we should continue to find attractive Climate Solutions investments, which leads to consistent growth of the business. Now, I will turn it over to Jeff L to detail our portfolio performance and financial results.
Jeff Lipson: Thanks, Jeff. Summarizing our 2021 results on the top of Slide 8, we are reporting impressive growth in each of our key earnings metrics. In the upper left, we note distributable earnings per share growth was 21%, driven by a larger portfolio, higher equity method investment income, lower debt costs, and increased gain-on-sale income. In addition, as shown on the upper right, distributable net investment income was $134 million in 2021, reflecting annual growth of 52%, driven primarily by a larger portfolio and strong margins and gain-on-sale from securitized assets was $80 million in 2021, representing a 21% annual increase in demonstrating our continued successful longstanding partnerships with our private debt investors. These substantial annual growth rates and distributable NII and gain-on-sale continue to demonstrate the success of our dual revenue model. On the bottom of Slide 8, we display longer term trends. We have grown both our managed assets and balance sheet portfolio at a compound annual growth rate of greater than 15% over the last 5 years, while maintaining our portfolio yield and achieving a return on equity in the 10% to 11% range. Turning to Slide 9, we detail our $3.6 billion balance sheet portfolio as of the end of 2021, which has grown 24% from $2.9 billion at year-end 2020. Our portfolio yield remained steady year-over-year at 7.5% and now includes over 280 investments. The average investment size and weighted average life of the portfolio remained unchanged in 2021. With no asset class comprising more than 30% of the portfolio, the diversity of our business remains a persistent strength. Finally, we highlight the structural seniority in each of our asset classes, which, coupled with the credit quality of our obligors, leads to strong credit performance. Currently, 99% of our investments continue to perform within our expectations. Turning to Slide 10, we detail our fourth quarter portfolio reconciliation. We funded over $400 million of investments with the resulting portfolio balance of nearly $3.6 billion, an increase of 12% from the end of the third quarter. Funding expectations of previously closed transactions is shown on the right, with over $700 million expected to fund over the next 2 years. This amount is in addition to the portfolio growth we expect from investments in our current pipeline. We also note that the grid-connected ENGIE portfolio, which we announced in July 2020 is now fully funded and is no longer reflected in this table. On Slide 11, we highlight that we extended and upsized our CarbonCount unsecured revolving credit facility. Earlier in 2022, we increased our available capacity from $400 million to $600 million, extended the tenure from 1 to 3 years and enhanced our CarbonCount pricing discount. Recapping our capital raising from 2021, we had a very successful year, issuing debt at 3.375%, equity at over $61 per share and establishing two incremental unsecured funding sources. Our liquidity platform is well positioned to continue to efficiently and successfully fund the expected growth in our portfolio. We also continue to manage our market risk utilizing modest leverage and maintaining substantial standby liquidity. Turning to Slide 12, we address interest rate risk, which is certainly not unique to our business, and we take this risk very seriously in our enterprise risk management processes. Let me to make four points regarding interest rates and our business model. Number one, we have an investment portfolio of over $3.5 billion and fixed rate debt of approximately $2.5 billion, neither of which is impacted by subsequent changes in interest rates. Number two, while rising rates represent a real risk, we have demonstrated the ability to actively manage our exposure successfully as shown in the chart on the left. And in fact, since 2014, our first full year as a public company, we have delivered earnings growth at an 11% compound annual rate during a period in which 10-year treasuries were over 3% and well below 1%. Neither the level of rates or the shape of the yield curve, both of which are depicted on this graph on the left, has meaningfully diminished our ability to grow earnings. This is in part because we actively manage our margins to our targeted ROE. Number three, on the graph on the right, we demonstrate how our margins have improved as we have maintained our portfolio yield despite a competitive investing environment while decreasing our cost of funds. Over the last 4 years, our interest expense as a percent of our average debt balance has dropped by 80 basis points to 4.6% as we have optimized our debt platform and taken advantage of tightening corporate debt spreads and the strong bid for credible green bonds. We remain confident over the long-term, our margins will be strong and relatively stable given the combination of our diverse investment strategy and attractive debt platform, even in periods of increasing investment volumes. We also expect these margins will facilitate continued strong growth in net investment income. And finally, number four, I’d note our securitization strategy has functioned well during our 40-year history, including a much higher interest rate environments. So we remain confident we can continue to utilize this source of capital as part of our funding and market risk strategies. In conclusion, our increase and extension of earnings guidance and our dividend increase reflects our confidence in the business model in a variety of interest rate environments. And with that, I’ll turn the call back over to Jeff.
Jeff Eckel: Thanks, Jeff. Great report. Turning to Slide 13. We note a number of ESG accomplishments, not the least of which is embedded in our vision to make only investments that improve our climate future. This vision is still too rare among mainstream financial institutions. We declared our second annual social dividend to the Hannon Armstrong Foundation and its Climate Scholars program and other climate justice initiatives. These include partnerships to help nonprofits invest in energy efficiency upgrades, some in content with our clients, support the development of resilient hubs and low-income neighborhoods and to fund climate core fellows as historically by colleges and universities. Finally, we continue to ensure our governance documents and disclosures are aligned with best-in-class ESG practices that we and our investors expect of our company. We will conclude here on Slide 14. I’ll highlight why we continue to present such a compelling value proposition for investors. First, we’ve demonstrated track record of results, including growing earnings 21% in 2021. Second, our markets and pipeline are large, growing and diverse. Third, our funding platform drives stable margins and gives us the confidence to increase and extend guidance through 2024. Last but not least, we integrate our ESG activities into the entire business, including CarbonCount, strong employee anticipation and our foundation activities. It is the deep integration of ESG into our mission that allows us to attract and retain the best people in the industry, and I thank them for all they do. With that, I’ll ask the operator to open the line for questions.
Operator: Thank you.  Our first questions come from the line of Nate Crossett with Berenberg. Please proceed with your questions.
Nate Crossett: Hi, good evening, guys and congrats on the results for the year. Maybe just a question on the new guidance. I was curious if you could maybe unpack some of the puts and takes. What are the yields that you guys are kind of assuming for this year? It’s obviously been very consistent in the last 3 years. And it sounds like you have the ability to kind of underwrite in conjunction with interest rate moves. But I’m just curious, should we kind of be expecting kind of that mid-7% range? And then just in terms of the timing of the pipeline, if you could give us any color on when kind of the deal flow is weighted for this year.
Jeff Eckel: I’m not sure we’ve ever gotten that question of where the pipeline is weighted. It’s generally been pretty well spread out and our ability to predict which quarter given transaction closes in is not considered all that great. That’s why we have a really large pipeline. We don’t control the timing of closing. But it should be pretty well spread out over the year. In terms of yields, I think you have some of the large grid-connected assets that are going to have probably declining yields and you’re going to have other asset classes and some of them will have higher yields that hopefully will blend out to where we are right now. There is another factor we’re interested in is having some shorter term investment opportunities given inflation and rising interest rates. So some of these opportunities may be shorter duration than what we’ve typically done in the past.
Nate Crossett: Okay. That’s helpful. And clearly, you have a pretty large spread over cost of capital. I’m just curious, have you guys seen any real changes in competition over the last 3 months? Or would you even say that maybe the macro back job is making it harder for competitors? Or what could you say on those issues?
Jeff Eckel: Great question. I can’t say there is a market uptick or downtick in competition. As I’ve said, we always have competition on virtually every deal but given the programmatic relationships, we tend to win more than we lose. I would highlight the Texas solar project with Clearway as an incremental piece of business with Clearway in what is clearly a very competitive and attractive asset class.
Nate Crossett: Okay, I will leave it there. Thank you.
Jeff Eckel: Thank you.
Operator: Thank you. Our next questions come from the line of Sophie Karp with KeyBanc. Please proceed with your questions.
Unidentified Analyst: Hello. This is Brendan on for Sophie. Thank you for taking our questions. Congratulations on the strong quarter and solid guidance here. Maybe if you could just give us some color on your confidence level with respect to hitting the upper or lower end of the 10% to 13% growth range given all the policy and macro uncertainties we’re seeing in other words, what kind of macro policy outcomes are you contemplating that could put you towards either the bottom or top half of this range?
Jeff Eckel: Well, I think the nature of guidance is that we expect to be in the range, and there are a variety of factors that could push us towards the higher or lower end of the range. Policy items are just one of several. I don’t think we would point to any specific policy items or policy proposals that would have such a direct impact that would say, if this is passed will be at the high end of the range or anything quite that specific. But it’s one of a number of factors that could lead us to ending up in the higher – the lower end of the range.
Unidentified Analyst: Okay. And then, obviously, a constructive growth outlook, and we are wondering if there was a particular asset class that you expect to outperform the rest of your portfolio and be the main driver of this group or perhaps an asset class that you’re seeing more heavily represented in your potential pipeline?
Jeff Eckel: Well, some of the sustainable infrastructure investments we could make and they are typically in environmental restoration markets, but they can also be in ag and transport, not quite the industry yet. And some of those should be potentially higher yielding, but there is, still nascent markets with volumes still to build. And when they become significant and big components will probably give them their own pipeline. But at this point, it’s in sustainable infrastructure.
Unidentified Analyst: Got it. Thank you.
Operator: Thank you. Our next questions come from the line of Chris Souther with B. Riley. Please proceed with your question.
Chris Souther: Hi, thanks for taking my question here. Great to see the guidance raised. Could you talk a little bit about some of the moving pieces for 2022 between gain on sale versus net investment income? I guess, in the middle of last year, you had kind of provided some – ranges for those. So I just wanted to get a sense of where we’re tracking relative to those. Obviously, the guidance implies positive across the Board here. But I just wanted to get a sense of how we’re thinking about kind of the mix and growth for 2022 and beyond, if you don’t mind?
Jeff Lipson: Sure, Chris. So we did not, as you noticed, put out the component parts of the EPS as part of our guidance. And as we mentioned in the second quarter of last year, we put some at least ranges around those. I would say for 2022, you should expect both the distributable net investment income and the gain on sale to rise. This growth trajectory that we’re guiding towards today is not overly based on either one of those. The portfolio will grow. We said the margin should remain relatively constant. So we will have some NII growth, and we think we can continue to go green on sale this year as well.
Chris Souther: Okay. And nice to see incremental deal with Clearway in Texas, can you talk a little bit about some of the changes in the funding schedule of closed transactions. It looks like both 2022 and 2023 went up by similar amounts. That’s when you kind of back out the stuff that got funded in the fourth quarter. So it sounded like you give just one deal in one project in Texas so that would be kind of funded more than one shot though. Any color on that would be helpful? Thanks.
Jeff Lipson: Well, I think that funding schedule is the aggregate of several transactions and several ins and outs. As you can see on the schedule next to it in the quarter, we funded $341 million from investments that had closed in prior quarters. So those essentially came out of that table and then thereby assume that many new transactions went into that table. So, it’s a more consistent pattern for us now to be closing deals that have fundings that occur a little bit into the future. And again, that creates good visibility on growth. So, there wasn’t just sort of one big story in that table, it’s several ins and outs, including, as I mentioned in the prepared remarks, the completion of the ENGIE portfolio fully coming out of that table now.
Chris Souther: Okay. Got it. And just last one. The pipeline bump seems really broad-based here. Maybe you could just provide a bit more color on behind the meter kind of the mix between public sector, resi? Anything that you can kind of provide there, I think would be great.
Jeff Eckel: Chris, I think they are all growing. It’s really hard to highlight one versus the other. I will say I am always surprised when industrial energy efficiency projects happen, and they are starting to happen, because I have failed in my career to be successful with those, but they are starting to be successful. And I think the solar business continues do a great job and has a great value proposition. So, I can’t give you a whole lot more detail other than to say they seem to all be growing.
Chris Souther: Okay. Thanks guys.
Jeff Eckel: Thank you, Chris.
Operator: Thank you. Our next questions come from the line of Philip Shen with ROTH Capital Partners. Please proceed with your questions.
Philip Shen: Hey guys. Thanks for taking my questions. I am juggling a couple of calls today. So, sorry if you addressed some of this, but just was wondering if you might be able to talk through by end markets, what the asset yields look like. I think on the last call, it sounded like some of the solar end markets were having some compression in the yield? Are you continuing to see that with – it seems like PPA prices are going higher. So, perhaps there has been a bit of a reversal. And then on the flip side, on the funding side, can you talk about with base rates going higher, spreads also going higher with the overall macro risk from Ukraine and so forth. How do you expect your cost of funding to trend as well? Thanks.
Jeff Eckel: Well, I take the first part and Jeff, you take the second. Hi Phil, nice to hear you hear your voice again. Not surprisingly the large grid-connected solar projects. Well, first of all, every project probably needs a higher PPA price just to recover the development fee or a portion of the development fee and to preserve returns with inflation and higher cost of capital. So, I wouldn’t equate higher PPA prices with ROEs going up, because you need that to just cover the cost. You would expect the large grid-connected solar projects to be the most competitive and bid up. Yields on distributed solar continue, because it’s relatively smaller to be more interesting for us.
Jeff Lipson: And on the cost of funds, Phil, clearly, the base rates are higher. As you mentioned, there is some volatility in the debt markets. So clearly, we are at a place today, for instance, where our debt that we issued last year would be trading at a discount, and our cost of funds would be a little bit higher. But I wouldn’t – to part of your question, forecast where they go from here. I think that would be a challenging thing to do. But I would say, as I said in my prepared remarks, we are hyper focused on margins. So, we will continue to invest at a margin to that cost of funds, whatever it may be, and we will remain focused on the targeted ROE for the business.
Philip Shen: Okay. Thanks for the color. As it relates to the green bonds, it looks like they are trading below par right now based on my quick check. Just what’s your outlook for a new issuance of green bonds, would you think that we might – we need to wait a bit before your next issuance there, or do you think we could see something around the corner?
Jeff Lipson: Well, I won’t answer that specifically in terms of guiding to when we might issue debt. But I would just say that we are a business that is in a growth mode and will be – you should expect us to be issuing debt. You should expect us to be issuing equity. You should be expecting us to use our $600 million credit facility that we put in place. And we are not in a sort of wait-and-see mode of let’s see where our spreads go from here and then maybe we will invest, maybe we will issue debt. I think we are a company that’s going to ride the curve up and down. We have cash flow coming back all the time as well from the existing portfolio, and we are going to actively invest and actively issue debt.
Philip Shen: Okay. Great. Thanks for taking the questions and nice report here. Thanks.
Jeff Eckel: Thanks Phil.
Operator: Thank you. Our next questions come from the line of Julien Dumoulin-Smith. Please proceed with your questions.
Unidentified Analyst: Hi guys. This is Anya filling in for Julien. So, my first question is with the ENGIE deal now fully funded, is there a potential to do further deals with them in the future, or maybe more broadly, asking that, how do you see the programmatic opportunity ahead with any of your other partners. For instance, SunRun, you had the resi solar deal that you just signed last quarter?
Jeff Eckel: Hi Anya, this is Jeff Eckel. I would say we see the programmatic opportunity with ENGIE, Clearway, SunRun, SunPower and not to exclude 36 other clients that we enjoy a programmatic relationship with as strong. It’s a mutually beneficial relationship, and there will be periods where we don’t necessarily meet with our clients on individual transactions. But generally, once we acquire a client and have a relationship and work with them through some of the problems that are inevitable through all the asset management challenges, we tend to win more than we lose on the incremental business. So, that’s a very broad statement that we look forward to doing more business with all of those companies. Was there a second part of the question that I missed, okay.
Unidentified Analyst: No, that’s great. And then second, I was just wondering if you could provide an update on the energy efficiency opportunity, just ongoing RFP activity on Federal ESPCs and how that’s progressing?
Jeff Eckel: Good question, I think it’s a variety of responses depending on the ESCOs. It certainly has been a little bit slower than the ESCOs like. And so it’s not been great. There hasn’t been an executive order. There has been an executive order, but not setting a specific goal. And really, the efficiency bureaucracy and the Federal government really responds well to the goal. So, we would like to see a goal, specific dollar goal be raised, and that would really help. I mean deals are still getting done, just it’s not off the charts like you might have expected with a Biden administration versus a Trump administration.
Unidentified Analyst: Okay. Great. That’s all I have, I will jump back in the queue.
Operator: Thank you. Our next questions come from the line of Noah Kaye with Oppenheimer. Please proceed with your questions.
Noah Kaye: Hi. Good afternoon. Thanks for taking the questions. Can we start with the sustainable infrastructure asset class. Again, the representation of that asset class in the pipeline is really striking. It was not a major part of funding, obviously in the last couple of years. So, what in your view, maybe breaks the logjam, or is there anything in particular that really starts to open up that asset class review this year? Anything that you would point to in terms of on-the-ground developments, policy changes as look?
Jeff Eckel: Hi Noah. Thanks for the question. So, a couple of things I would point to the – state legislation around pay-for-success environmental outcome projects. We have been very active in the State of Maryland, which is the principal state surrounding the Chesapeake Bay to accelerate using an ESPC like structure. I believe that will be law in Maryland. It’s Governor Hogan’s number one legislative priority and enjoys a really strong bipartisan support. So, that’s a kind of thing that if it passes and our clients start to do more projects, I think we will get to see quite a bit more business. There has been a lot of activity in the Ag business from sustainable farming to renewable natural gas that looks to be interesting and is growing quite well. So, those would be a couple a couple of anecdotes.
Noah Kaye: Great. Thanks. And the disclosure around the 40 programmatic partners, is it possible to provide comparison to past that would be helpful. But I think the broader question is really about how you are growing an organization to serve those clients. And perhaps also how you are expanding the ways in which you serve them. I am just curious to get some color on that because obviously there is the support of the transaction itself, but then there is an ongoing relationship around those assets. So, can you talk a little bit about kind of the expansion of your capabilities and the services you are providing and then how the number of partners may have grown over time?
Jeff Eckel: Thank you for that question, Noah, because I was just kicking myself that we didn’t include a slide on that. I think we have grown to over 100 people, and I think pre-pandemic, Jeff we were below 66, so we have added quite a bit of talent and I think the people we are seeing are terrific, and it’s hard to hire people. So, we have done a very good job on building out specialty skills that we need. We have also done a fantastic job and I give Jeff and his team credit on our technology build out. One of the things that makes our platform more scalable is using data and our team is doing a great job. There is a tremendous amount still to do, to build out our technology platform. But it is definitely happening here. And I am always surprised at how much our team is using data in new and novel ways. I think the single most important thing we do to expand clients and expand relationships with clients is to zipper our organization from CEO to head of a business unit to investment teams to legal and portfolio management. We have a very rigorous way to track that. We make sure everybody has got counterparty at the other side, and we get a lot of information that way. And a lot of it is very supportive. I enjoy the calls I have with the CEOs of our clients, and we commensurate about industry issues, but they know a couple of things about us. We understand their business. We appreciate how hard it is, and we will never ever compete with them. And most financial services companies can’t say that. Finally, we did make an organizational change as the portfolio got bigger and the complexity of our asset classes. We created an internal matrix organization. So, there is somebody in charge of, let’s say, resi solar on the investment team and portfolio management and in legal so that we start to get economies of scale in doing transactions. We have feedback loops for additional investments for how things are actually performing. And it’s definitely a – as the organization scales in the portfolio and AUM scale, we need a lot more business leaders, and I am super excited about that rollout of that matrix. It’s going very well and we made a good slot.
Noah Kaye: Yes, there is always next quarter, but I appreciate the color. And I think to ask one more clarifying question, if you don’t mind, it’s really around your comments on how duration of some of the investments may be shifting. So, I just want to clarify, is that largely due to the mix and certainly if you take C&I and the efficiencies – its shorter creation, right? So yes, please go ahead.
Jeff Eckel: It’s mix.
Noah Kaye: Okay. And if you can give me a color that it’s mix of say, more industrial energy efficiency is it?
Jeff Eckel: Yes, industrial energy projects might be 10 years where Federal efficiency project is almost always 25 years, right. Some of the storm water remediation projects are 5-year, 7-year type projects.
Noah Kaye: Okay. Excellent. Thank you.
Jeff Eckel: Thank you, Noah.
Operator: Thank you. There are no further questions at this time. And with that, ladies and gentlemen thank you for your participation. This does conclude today’s teleconference. You may disconnect your lines at this time. Have a good day.